Operator: Good morning. This is the chorus call conference operator. Welcome, and thank you for joining the Nexi First Half 2024 Financial Results Conference Call. As a reminder, all participants are in listen-only mode. After the presentation, there will be an opportunity to ask questions. [Operator instructions]. At this time, I would like to turn the conference over to Paolo Bertoluzzo, of Nexi. Please go ahead.
Paolo Bertoluzzo: Thank you. Good morning to everyone, and welcome to our call for the results for the first half of 2024. As usual, I'm here with Bernardo Mingrone, our CFO; and Deputy GM, Stefania Mantegazza, is leading our Investor Relations activities and a number of other colleagues that may help us in case we have very specific questions. The program is very similar to the one that we had last time. So I will start by summarizing the key messages then we will deep dive on a topic that we believe is particularly relevant for next year, but most importantly for our investors and for the market. This time, we will deep dive on our cash acceleration formula in our capital allocation strategy. Remember, last time, we did guide on our strategy on software and payment integration, this time we've chosen this topic instead. Then I will hand over to Bernardo that will take us through results, and we will all come back for our Q&A session to answer to your questions. So let me start at Page 3, as usual with a summary of the key messages of today. First of all, in the first half of the year and the second quarter of the year, we have continued to deliver our growth and most importantly, EBITDA margin expansion. And as of today, communicate also our excess cash. We have, in particular, accelerated very, very materially our cash -- excess cash generation on the back of a number of positives. In particular, revenues did grow in the first half, about 5.9% with Merchant Solutions revenues up 7%, with a slight acceleration compared to in the second quarter, compared to the first quarter and with e-commerce that continues to grow on double-digit. EBITDA did grew about 8% in the first half, with an EBITDA margin expansion of close to 100 basis points. As a reminder, we remain committed to expand by at least 100 basis points for the full-year and in the second half, we expect a higher EBITDA margin expansion also on the back of a number of efficiency and synergy acceleration measures that we have already put in place. Last but not least, in the first half of the year, we have seen a strong acceleration of our excess cash generation, which is the cash that we generate from our organic business, also after our investment in organic growth. In the first half of the year, we generated €383 million, which is up more than 40% compared to last year. There are phasing elements here, but in many cases, a strong performance that compound revenue growth, operating leverage and CapEx reduction. Second key message, in parallel, we continue to invest to shape Nexi for future profitable growth. In the first half of the year, we had a number of very important areas of progress. Let me just point to some of them. In MS, we have accelerated the development of our direct channels in Italy that are so important given the evolution of the market there as well as we've continued to accelerate our ISV partnerships across all our geographies. At the same time, still in MS, we had a strong development of our most advanced digital proposition. Just to name a few, we have launched the first-to-market Apple Tap-to-Pay not only in Italy where we're market leaders, but also in Germany, where we are a challenger. In Germany, and I would say more broadly in DAC, we start to capture the benefits of the bundling of the Nexi and the compute propositions across e-com and omnichannel. In Italy, we've started to serve Amazon on Bancomat Pay as an acquirer and just as a processor for Bancomat Pay. And just to add another one, we launched previously with our partnership with Klarna in the Nordics, and we will expand it across our geographies as well. Last but not least, we continue to accelerate our efficiency and cost synergies delivery on the back of the group integration as we had anticipated a few months ago, and the impact of this will become even more visible in the second half of this year. Third, a very, very important point. This strong cash generation acceleration is allowing us to continue to progress our deleveraging with net debt-to-EBITDA down to 2.8x EBITDA as of June. This will be 2.7 million pre-share buyback effect. We confirm again that we will pay down €1.3 billion of the debt maturities and report all the maturities expected in '24 and '25 with existing cash. Now out of this €220 million have already been reimbursed in April and another €536 million will be reimbursed in the fourth quarter, clearly giving us a benefit on the cost of debt as well. Last but not least, as you remember, we announced in March, €0.5 billion buyback program across 18 months. We launched the program in May, we are progressing the program. We have now decided to accelerate the program and complete it in full -- for the full €0.5 billion by the end of 2024. On the back of the progress that we had also in the second quarter, we confirmed the guidance for the year, which as a reminder, says that we grow revenues around mid-single digits. We will grow EBITDA around mid-to-high single digits with 100 basis point EBITDA margin expansion at least, and we will generate excess cash for more than €700 million. Now let me go in the deep dive and I will cover basically two topics. What we call the Nexi cash acceleration formula and our capital allocation strategy. Let me start with -- we like to call the Nexi cash acceleration formula that I think is simple, it's quite unique of Nexi at least in some of the components. And then we take you through Page 4 going horizontally. First of all, top-line growth, we did guide the market for mid-single digit in the year in the first half with a 6% growth. Second, our continued effort to contain OpEx growth despite inflation, despite higher volumes, despite investments in growth. Now we expect OpEx to continue to grow at the low-single digit pace this year, but also in the future, combining top-line growth and these EBITDA margin in this cost income reduction, we continue to see EBITDA acceleration and in particular EBITDA margin expansion that we are guiding to at least 100 basis points now and honestly, also in the midterm. In the quarter -- sorry, in the first half, we have grown EBITDA 8% with EBITDA margin expansion of close to 100 basis points. Again, this EBITDA margin expansion positions Nexi at the very high end of our industry across not just Europe, but I think the U.S. as well. And then on top of this operating leverage, we will benefit -- we are benefiting already from what we like to call cash leverage. We understand it's a little bit of a invented expression, but let me take you through it. We have CapEx that over time will continue to go down in absolute terms and most importantly in percentage terms. We will have and we already have non-recurring cash items following the same path, and therefore, going down in absolute terms and in percentage terms. And we will have also net cash interest expenses going down in absolute terms and in percentage terms on the back of the reduction of our gross debt as well as over time, we believe, a positive evolution of interest rates. So these three components, maybe there have been a little bit of a drag of Nexi -- for Nexi on the back of the transformational M&A we have done and the transformation efforts on the back of it. But going forward and already today, there are actually Nexi unique points of strength. And if you combine the EBITDA margin expansion and the operating leverage with these components, this is what is generating excess cash, very strong acceleration. We have guided and we are committed to the market to generate at least €700 million cash -- excess cash this year. In the medium and long term, we see this organic cash generation growth continuing strongly. And we plan to be at around €1 billion by 2026, which is only two years from now. In the first half of the year, we generated already €383 million, which is up more than 40%, also benefiting some phasing effects, but we remain committed to the more than €700 million for the full-year. Now how do we plan to allocate? Let me -- this excess cash and general capital. Let me start at Page 5, reiterating our strategic approach, and then I will go on the next page on the progress in the year so far. So as you have understood from our previous conversations, this excess cash allows us, at the same time to allocate capital to reduce debt quite rapidly, but at the same time, materially return capital to shareholders. Let me start with debt and leverage reduction. First of all, and we always like to remind is we have a very well-balanced debt profile in terms of maturities and mix, with an average pretax cash cost of debt, which is at around 2.8%, which is actually slightly lower than what it was last quarter, and we expect in general cost of debt -- absolute cost of debt as I said before, to continue to go down. Second key point, we have a target leverage of about 2x to 2.5x EBITDA by 2026, after further capital return to shareholders. This is a top priority, is a kind of a precondition for us and it's also a commitment. And what we are seeing now is actually give us a lot of comfort that that's the direction of travel that will allow us at the same time to return capital to shareholders. And again, I want to confirm that we paid down €1.3 billion of gross debt that is maturing this year and next year with the existing cash. So this is it in terms of debt and leverage reduction strategy. Second, thanks to the excess cash we are generating. And despite our commitment to reduce target leverage of 2x to 2.5x EBITDA by 2026. The strong accelerated cash generation will enable us to structurally return capital to shareholders. And therefore, we plan to allocate a material share of excess cash to shareholders on an ongoing basis, either via share buybacks or dividends, depending on market conditions. And therefore, you should not see the current buyback as an exception for us. Again, returning capital to shareholders, either via buybacks or dividends, depending on market conditions is the rule of the game, and we remain a structural characteristics of Nexi. Last but not least, as far as M&A is concerned. We will continue to remain extremely selective on -- and focus on value-accretive acquisitions, normally in merchant books and our strategic product and tech capabilities enhancement. But in parallel, we'll continue to sell non-core businesses, especially in the Digital Banking Solutions area, even if we are not in a hurry, and we will remain very rational in making sure that we capture the value that we associate with this business, but this will happen over time. Now let me jump up to the third and last page of this session to give you a more precise update on how this strategy has been executed in the first half of this year. As far as debt and leverage reduction, as I've anticipated, we are now down to 2.8x versus the end of last year, 3.0x and actually, this 2.8x would be 2.7x pre-share buyback effect. The only reason why we are highlighting this, because this is just confirming our ability to deleverage quite rapidly, 0.3x in half a year. Second, we have already reimbursed €220 million in April of gross debt, the debt maturities, and we will reimburse another more than €0.5 billion by the end of the year completing the full-year commitment on this front. Second, in terms of return to shareholders, now we have announced the €0.5 billion share buyback 18-months program. As I have anticipated, we have decided them, the Board has decided them to accelerate this program to complete in 2024. And we feel very comfortable in doing it, considering the M&A outlook that we see for the rest of the year and into next year as well. At the end of the quarter, we had ready purchased €180 million equivalent of shares, €201million as of July '26. And again, as a reminder, we plan to cancel all the shares that we are buying back and in fact, we've already canceled more than €26 million shares. Last but not least, as far as M&A is concerned, we have closed the Sparkasse merchant book acquisition. We invested under about €30 million. And we expect to complete the sale of the Nordic eID business by the summer 2024, and this should bring in something around €100 million of cash. So unless something else happens that we don't see now happening this year M&A could be a composite contributor to cash flow generator for the company. Let me stop there, and let me now hand over to Bernardo for results.
Bernardo Mingrone: Good morning to everyone. So as you've seen, the second quarter and indeed, the first half continues to exhibit solid revenue growth, coupled with margin expansion and EBITDA growth. It's been a rather consistent second quarter in line with performance of the first quarter. So we had revenue growing at 5.8%, that's close to 6% for the first half. Margin expansion has been close to the 1 percentage point we've guided for the year, and as Paolo said, we confirmed guidance and we stand by our prediction to improve margin by 100 basis points or more for the full-year. But EBITDA grew 7.5%, pretty aligned to the growth in the first half of 8%, a slight dip, I would say, in terms of EBITDA margin expansion really comes from the nature of the one-offs we had highlighted with regard to 2023, where we had some upfront project where -- which had very high EBITDA margins in the month of June of last year. But as I said, we expect EBITDA margin to accrete by 100 basis points or more for the full-year. Moving on to Merchant Solutions. Again, similar performance as for the Group, very consistent in the second quarter compared to the first quarter. We have a slight actually -- a slight acceleration in terms of the top-line growth, 7.2% compared to 7% for the half. We have seen solid volume growth across the group driven by international schemes, which contributed the most, I'd say, through our revenue growth. We've seen customer base expansion and e-commerce that continues to grow faster than the market. In general, I think Germany is an important geography for us, and we'd like to call out how SME Germany revenue growth has been double-digits in the second quarter. So good performance overall, I'd say, for Merchant Solutions as well. Moving on to issuing. We've had -- we had more consistency in terms of top-line growth, 5% in the quarter, 5.1% for the first half. We continue to see strong support of international schemes. This is particularly true in Italy in issuing where we have a very strong and solid growth of international debit where we've reached more than 7.5 million cards. And obviously, that's very beneficial to our top line, given the, let's say, the more attractive economics associated to this. And issuing is where that one-off last year, it creates a bit of a step effect compared to both our profitability and our growth year-on-year. But I would say the continued upselling and cross-selling of our value-added services across the Group and the progress we're making in advanced Digital Issuing Solutions is another big contributor to our top-line. So notwithstanding the, let's say, the one-off from last year, we still have, I would say, very positive performance in Issuing Solutions as well. DBS growth of 2.4% in the first half, slightly lower than that in the quarter. This is the business unit, which is most exposed, let's say, to a more lumpy set of revenues coming from project work. This is just pure in nature of this business. So the difference in the quarterly performance isn't something, which needs to be focused on. I think, the overall plan is for this low-single digit growth to be confirmed for the full-year, and we've seen positive contribution also coming from those businesses, which do rely on volume growth like EBA Clearing and open banking in general. So a good performance from DBS as well. So the overall revenue performance, which has been substantially in line with our expectations, absolutely consistent with the guidance we provided for the year. From a geographical basis, you can see broken down on Slide 12, where Italy pretty much consistent quarter-on-quarter and for the first half at 6%. Nordics, as you know, a market which is more mature and therefore, structurally has a slightly lower growth rate of 2% in the quarter. I will just highlight how DACH and Poland, in general, we've had as a geography that has had on the issuing front, a bit of shape or, let's say, from a timing perspective, issuing at a very, very strong first quarter in DACH and a weaker second quarter. Again, more to do with the project work relating to some customers we have won in the region, which by this time skewed the top line growth towards the first half compared to the -- let's say, towards the first quarter compared to the second quarter. But if we focus on Merchant Solutions revenue, in Germany, we have been hovering around a very high-single digit or double-digit growth, which is pretty much in line with our expectations. Moving on to costs on Slide 13. I'd like to underscore how the significant work has gone into try to limit our cost growth, which has upward pressure coming from volume growth, which we see, as I said, throughout the geographies coming from inflation. Even though inflation is coming down, there is a tail effect to inflation in renegotiating contracts, which come due over time. So notwithstanding this upward pressure on costs, thanks to the work we're doing on our cost base and thanks to synergies, we've been able to limit this cost growth. And similarly to revenues, you can see how costs have been pretty flat in the first half with a similar performance in the first quarter compared to the second quarter. I'd like to highlight how, as you know, we're investing part of our capital in a rightsizing plan, in particular, in Italy, where we have exits, which will benefit our P&L in the second half of the year associated with the severance costs you will see in the transformation items. So we expect this cost growth to come down in the second half of the year. Moving on to CapEx. We have a 15% reduction year-on-year on the CapEx. CapEx tends to be seasonal. Second half is obviously heavier in terms of investment in the first half, I think Paolo summarized it well. We're on track, delivering integration, the synergies coming from merging with net and here we continue to rationalize our cost base. As you saw earlier, and this means also closing data centers moving towards our target, our four target core processing platforms, that work continues. The reduction, as I said, is going to be consistent for the year. We've often spoken about a €50 million or so reduction in CapEx expand by that projection for the year. Moving on to transformation costs. On the left side of the slide, we show how we've had a very significant reduction year-on-year in integration and transformation costs. These were the costs associated with merging with the SIA, Nets, and completing the transformation in the three countries. And that is again consistent with the trajectory we had highlighted in the past with regards to reduction in transformation costs. Obviously, we have the large severance component, only €30 million of €130 million are cash, round about €70 million, €75 million of the total €150 million cost will be cash for the year. But again, if we treat that as a one-off and last time we had the severance program on this size was seven years ago, it's not something that can happen every year. The transformation costs and integration costs are down 30% otherwise. Moving on to cash generation, which is obviously one of the strongest points in terms of the characteristics of Nexi. You can see how we have a 42% increase in the excess cash, which is the cash we generate after having invested in our business and manage the business for growth we've spoken of earlier. This 42% comes off the growth in EBITDA, I would say, a strong benefit in terms of managing our working capital, where we also had the benefit. And maybe some of you will remember, we spoke of this when we discussed full-year results. Last year, we had one customer unfortunately paid us -- actually, it was two, one larger one slightly smaller who paid us midway through January rather than the year end last year. This put pressure on our cash generation last year, nothing much we could do about it, and we get the benefit of it in this half. So nothing particular there. I think it's part of ordinary business. But I would say that the very strong cash generation in the first half puts us in a good position to confirm our guidance for the year of at least €700 million. On Slide 17, you see the net debt position, Paolo's already highlighted how in the absence of M&A, notwithstanding the share buyback program. You can see how in the last year, we have come down from 3.2x leverage to 2.8x leverage. This would actually been 2.7x leverage if we hadn't completed the buyback. And in general, we are on a very steep, I would say, deleveraging trajectory. For the first time, by the way, in a number of years, we also see gross financial debt coming down as we reimburse the nationals, we will have more maturities coming in 2024 in October where we'll reimburse about €0.5 billion of bonds and next year, we have another €0.5 billion. Just to reiterate, I mean, we have sufficient cash on balance sheet to meet all our liabilities through 2026. The reason why we're not really prepaying these is, as Paolo highlighted, the cost of that is actually lower than what our cash balances yield us and therefore, there's no real sense in giving away the benefit of this carry. But we are 100% committed to reducing our gross leverage and our net leverage as EBITDA increases. That said, I would hand the floor back to Paolo for his final remarks.
Paolo Bertoluzzo: Thank you, Bernardo. Let me jump to Page 19. This is the guidance that we've announced back in March for the full-year, and we are just confirming it. Net revenues growing mid-single digit for the year, EBITDA mid- to-high single digits with EBITDA margin expansion higher than 100 basis points. Excess cash generation, more than €700 million and net leverage increasing to below 2.9x EBITDA, including the announced M&A and the share buyback effect. As I said, we are already at 2.8x and actually 2.7x if you exclude the effect of the share buyback. Let me just recap on Page 20, the key messages for the year -- for the first half of the year. First of all, continued delivery of growth, margin expansion and very, very strong cash generation acceleration. Number two, continue to shape Nexi for future profitable growth, working both on our growth engines and strengthening our position in the various markets, but at the same time, continue to be working on efficiency and synergy extractions in the business. And last but not least, creating value for our shareholders on the one side, continuing our deleveraging process, but at the same time, accelerating our ability to give back capital and cash to our shareholders in this environment, and this is, I think, a good example of how our future looks like. Let me stop there and open for your questions.
Operator: Excuse me, this is the Chorus call conference operator. We will now begin the question-and-answer session. [Operator instructions]. The first question is from Justin Forsythe from UBS. Please go ahead.
Justin Forsythe: Hey, Paulo and Bernardo, congrats on a nice quarter. Just a couple here for me. First, I wanted to hit excess cash. So should we think of the $700 million reiteration as conservative? Or are there some negatives that we should expect to flow through in the 2H that maybe weren't contemplated such as that working capital benefit you saw that you just mentioned in early January? Or should we, again, view this as a degree of conservatism in your guidance? Second question is more of a strategic one. So you mentioned Computop again, it seems like you're phasing along nicely there with the integration. Can you just talk a little bit about how that fits in the broader portfolio of assets, particularly in Germany? So you've got now a modern point-of-sale platform. You're partnering with an e-commerce platform and you've got the direct-to-merchant business with Legacy Concardis. Are you well placed to create a nice little omnichannel solution there? And how do you think that will compete against the rest of the players as there is a bunch of other players seeming to push into Germany at the moment as well? Thank you.
Paolo Bertoluzzo: Hi, Justin. Good morning and thank you for your questions. Let me start on the second one, I will hand over to Bernardo for the excess cash one. Listen, we always said that Germany for us and DACH more broadly is a key growth engine going forward, it's a big, big area of focus. We've done a number of moves in Germany, you're highlighting -- I have highlighted Computop, but if you put everything together, now we are investing into the most modern propositions we have. We are investing on ISV partnerships. We bought a software leader being [Indiscernible]. We are executing there our partner integration platform. And we have this growing and more and more integrated partnership with Computop that is a leader in e-commerce. And at the same time, we have launched -- we are progressing the launch of the SME e-com proposition. So yes, the simple answer is yes. We want to basically, in Germany, create our strongest possible portfolio of propositions to be able to attack the market and grow in the market. Again with a strong focus that is SMEs, especially midsized SMEs and more national, if you like, less complex, larger merchants. Let me just add one element. Computop for us is a very strategic partnership, not just for the German access to market and strengthening the proposition, but it's a more broader, if you like, asset for the group because we plan to leverage their technology, their capabilities also in other geographies as we consolidate our platforms, in particular in e-commerce gateways for larger merchants and in omnichannel. So you're absolutely right, but it is a broader plot for Germany and for Computop as well. Bernardo?
Bernardo Mingrone: Yes, the question with the excess question and how? As I said, we stand in a good position to deliver our guidance, we won't revise it upwards or anything. I think that the working capital point I made is something which will stick. I mean, we will have a better second half compared to the first half with regards to working capital. And I think this is rather consistent with seasonality of working capital and the fact that you pay bonuses and then this worsens in the first half compared to second and in general, we're a growing business. A lot of work is going into trying to optimize this item, which is one of the levers we have to generate cash. But there's nothing that I would call out the second half just in this, remember, obviously, we pay a lot of taxes in the second half compared to first half. And of course, there's seasonality, which helps us offset this with higher EBITDA contribution in the second half to the first half.
Paolo Bertoluzzo: There's nothing -- there's no Visa share sales for -- I think in the past there was some concern about that. I mean we're going to hold them. We have them, we could sell them, we won't even though we could just to avoid there being any contribution to this.
Justin Forsythe: All right. Thank you both. Congrats again. Cheers.
Paolo Bertoluzzo: Thanks.
Bernardo Mingrone: Thanks.
Operator: The next question is from Aleksandra Arsova from Equita. Please go ahead.
Aleksandra Arsova: Hi, good morning. Thank you for taking my questions. Three on my end. The first one is maybe just a trading update on how July is going on, also considering the new flow of consumption in Europe slowing down. So what is the confidence you have -- if the confidence you have in the guidance for the second part of the year is the same with respect to three months ago? Then the second one is maybe an update on Sabadell, or if you have any update there, and if you or for any reason didn't succeed to close the deal, if this will imply, let's say, a whole stop in your penetration strategy in the Spanish area? And then just a technical one, is Sabadell included in the, let's say, in the full-year '24 guidance for net debt on EBITDA, or it's excluded? Thank you.
Paolo Bertoluzzo: Good morning and thanks for your question. So let me try to take a few of them. July volumes. Listen, July -- I think in general, volumes are not the strongest ever, to be clear. I mean, you saw the macro around Europe but at the same time, they're not bad either. What we see in July is actually not a bad trend. We are -- especially when we focus on international schemes, which is the area that is the most relevant in terms of what drives our revenues there. We see high-single-digit growth in places like Italy or DACH. If you like, the Nordics are a bit softer, I think as I commented in the past, the Nordics seems to be the geography where macro has been impacting quite a bit. In general, our expectations for the rest of the year, I mean, we're not taking risk. We're not betting for a recovery of the economy, but we are not planning a worsening either. Don't forget that in the second half of last year, that's when basically the economy became softer and therefore in the second half of this year, we may have a little bit softer comps compared to the first half. So let's see what happens, but this is all factored in our guidance combination. As far as Sabadell is concerned, first of all, we have received old utilization that would allow us to close. Clearly, we will not close up until there is clarity on what the situation will be with Sabadell in the future. Honestly, the relationship with them is fantastic, and we continue to prepare for a potential launch together. But it's quite clear that, that situation will not be clarified anytime very soon. I mean you are more expert than we are in following these situations, but we don't see this happening this year. This is the reason why there is no Sabadell contribution into our 2024 numbers as much as there is no Sabadell element in our cash deployment approach for the second half of the year. As you can imagine, one of the reasons why we are accelerating the buyback that was supposed to be over 18 months and therefore, to simplify half this year and half into next year is also because we were expecting this year a cash out of €280 million, I think. For Sabadell now we have certainty it'll not happen there and therefore is allowing us to anticipate to this year the completion of the buyback. And therefore, we just confirm our guidance for the debt deleveraging now that it maybe actually an area where we may be doing even better despite the anticipation of the full buyback.
Q – : Okay, great. Thank you.
Operator: The next question is from Sandeep Deshpande from JPMorgan. Please go ahead.
Sandeep Deshpande: Yes, hi. Thanks for letting me on. My question is, there has been some slowdown in the overall European markets, and do you expect to see any impact from that to your sales? And then when you look at your sales, it has been driven by -- the sales growth in Merchant Services is driven by expansion into different markets, et cetera. Can you talk a little bit of product, any new products that you are offering in merchant services that can expand sales going forward from here? Thank you.
Paolo Bertoluzzo: Good morning, Sandeep and thank you for your questions. Listen, as I said before, yes, the European economy is not doing great. We don't see at this stage further deterioration, but it's all factored into our results and into the confirmation of the guidance that we have provided. There is one key element that I want to take the opportunity of your question to underline because it's really, really important, and then I'll come back to the proposition part of your question because the two elements are connected. I understand that there is a lot of focus on volumes because it's a simple KPI and so on and so forth. The good news is that our revenues are not driven by our volumes only, they are driven by a number of other things. Let me just mention a few. First of all, mix of volumes. Now our strategy is more focused on SME merchants, on national locker and much less on larger lockers and therefore, and actually, you see it into our volume dynamics across segments. The more the volumes are concentrated into SMEs, the more the top line and margins benefit out of it, point number one. And then that's a key part of our strategy. Number two, mix of volumes. Now if you look at the area that is suffering the most is actually national schemes volumes, while actually, international scheme volumes continue to grow pretty strong, double-digits in some cases. And this is very important because all in -- international schemes volumes are more profitable for us. By the way, also if you include what we are doing in issuing in -- our strategy in issuing. Number three, the more we grow e-commerce faster, e-commerce, especially if you stay focused on the mid-segment, e-commerce comes with higher margins. Number four, the more you focus on acceptance solutions and more sophisticated acceptance solutions, the more you the benefit. And last but not least, don't forget that we do what we call value management every single day of the year. And therefore, it takes the opportunity to reprice customers that are unprofitable, that are too low on profitability as well as we accept to leave customers that are maybe very large customers that if you really look at it well are all in unprofitable. So all these elements are contributing to the resilience of our merchant services growth despite macro being unstable in this phase. Coming to your proposition question, that's the reason why we're so focused on driving more propositions across the board. We are launching smart terminals across all geographies. We have them since a long time ago in Italy, in Southern Europe, in Germany, in DACH, more broadly now we're launching in the Nordics as well. Number two, e-commerce, we just discussed what we are doing in Germany. In general, it's a strong focus on e-commerce and in exporting and expanding our most successful propositions that are full acceptance propositions, including all alternative payment methods across the board. Number three, we are expanding the number of payment measures that we accept from account-to-account payment methods like BANCOMAT Pay with Amazon in Italy to by now, I believe that our accounting payment methods like, for example, Klarna in the Nordics. And with most of these, we don't do only acquiring, we also try to do collecting, which again increases value. We launched SmartPOS and especially we need to see good traction again SmartPOS is not a very big thing, but it is an additional value-added service that we can provide to our customers. Let me close with one last example. We are pushing on value-added services across the group from the simplest ones like DCC, which is doing very nicely. Two things that are a bit more sophisticated, that fits very well with our positioning and with the pace of the economy like merchant financing, where we work with partners, but we are able to retain a pretty high margin. And just to give you a sense of it when we were able to basically sell to a customer also merchant financing. The value of that customer can almost double and not to talk about upselling software and other things. So there's a number of things that are contributing to Merchant Services revenues, not just volumes, and those are the core, core of our strategy because this creates a little bit more independence from the dynamics of macro.
Sandeep Deshpande: Thank you so much.
Operator: The next question is from Orson Rout from Barclays. Please go ahead.
Orson Rout: Hi, Orson here from Barclays. Thanks for taking my questions. Two from my side. First is just on the €50 million loss after tax from asset held for sale. Can you speak to what costed deterioration, is this primarily from Ratepay? And as a quick follow-up, can you give some progress on sort of the situation with Ratepay because you gave a bit of sort of call on the audited. But nothing on Ratepay yet? I'm interested to hear how that's going along. That's the first question. And then the second is just on the cash flow. Obviously, congratulations for the strong half year on excess cash generation. Was just wondering in terms of the severance costs, how we should think as key is from a phasing perspective? Obviously, only 31 maybe in H1, but how should we think about these costs from a cash flow perspective over the next couple of half years? Thank you.
Paolo Bertoluzzo: Good morning, Orson and, thanks for your questions. I hand over to Bernardo for both.
Bernardo Mingrone: Yes. As you say, that item is primarily Ratepay. Ratepay is being managed -- we've discussed Ratepay in the past, we were looking to sell it. As such, we have basically collapsed the Ratepay performance and the ID performance as assets were available for sale, and we hold them -- we basically book them at net income, which is what you're commenting on the net income effect of Ratepay, that is, in this year was impacted by a significant restructuring charge we took in, I think it was March and February, March this year when we basically downsized the workforce to manage as I have said in the past the business in such a way that it burns as little cash as possible, we're talking about a business which probably will burn or between €1, €1.5 million per month going forward, and we expect to return to breakeven during the end of next year. So that's what you see this year in the first half, you see the cost of letting people go in Ratepay. With regards to cash flow, I think the -- sorry, the cash flow question related to severance. So we have very high degree of confidence with regards to the overall cost of the program, which will be down about €150 million, which is what we guided to back in March when we commented on full-year results and gave guidance for the year. That €150 million will be on the cash front, it's a little harder to be as precise but it's going to be more or less half of that this year, of which you saw more or less half of that quarter in the first half of this year. So I would expect to close the year with about €70 million to €75 million of cash related to this item in the course of 2024. The other half will be primarily next year until in 2026.
Orson Rout: Helpful. Thank you.
Bernardo Mingrone: You're welcome.
Operator: The next question is from Sebastian Sztabowicz of Kepler Cheuvreux. Please go ahead.
Sebastien Sztabowicz: Yes. Thanks for taking my question. I have got one on the CapEx, where were you in terms of ordinary transformation CapEx in H1 and how should we model CapEx moving into the core part of the year or for the full-year 2024? And attached to that, when do you believe you can achieve your long-term CapEx addition between 7% to 9% of net revenue? And the second question is on the net take rates, which increased quite nicely in H1, around 2% year-on-year for both Merchant Solutions and Issuing Solutions. What were the main drivers behind the take rate evolution in H1? And what do you expect for the coming quarters? Thank you.
Paolo Bertoluzzo: Good morning Sebastien and thanks for your questions. I'll let Bernardo take the first one around CapEx and CapEx dynamics. But let me comment on the second one because it connects well with what I said before, I think answering to Sandeep question around proposition and what else we do, because that's actually the driver. As you see from the numbers, our take rates are broadly stable, if not in some regions also improving. And that's really the combination of some normal pressure that you have everywhere on pricing, which is, as I always said, structural in a business that -- that is growing and when there is over time, more competition coming in. But at the same time, this is well rebalanced, if not more than rebalance by the number of things that I mentioned before, from value management reprices wherever appropriate through more value proposition to new products and services that we launch into market, to a volume mix that is moving more and more into SMEs and into international schemes and more valuable products. So that's really what is helping us to support take rate more broadly despite the fact that we have to remain competitive and therefore, when you look at the traditional services front book pricing that we stay competitive in the market. So is this balanced on the one side, we want to stay competitive. On the other side, we want to create value across the board by driving our strategy in terms of product portfolio, business mix and new propositions. Bernardo?
Bernardo Mingrone: Yes. On CapEx transformation, I think what we're trying to do is simplify also our reporting and reduce the number of variables that we put out there just to hopefully make your life simpler and be judged out to maybe on a smaller set of KPIs. The transformation CapEx, last year, we had about €100 million at the beginning of last year. So the beginning of 2023, we had about €130 million left and we booked, if I remember correctly, about €110 million. So we had about €20 million during the course of this year, and we've spent most of the, the truth is we've spend most of that €20 million already in the first half. However, I think it makes sense to start looking three years into the merger with Nets and Sia, it doesn't make a huge amount of sense to continue distinguishing between transformation and ordinary CapEx. I think we're at the stage where most of this should be treated as ordinary, at least we are doing so internally and therefore, we have exhausted that bucket of CapEx, and you should look at our CapEx intensities being ordinary CapEx, which currently is 12% of revenues. Remember also in our CapEx, it's always worth remembering that we have at any point in time between 2% and 4% of revenues, which is spent on terminals, which are very directly linked to our revenue generation. So transformation CapEx, by the way, we said was going to be exhausted by 2024. We're just bringing that forward by six months in terms of our report. When will we reach 7% to 9%, clearly, that guidance was given when we were hoping revenues are going to grow faster than we had the effect of macro, the slower top line growth that you've seen and that impacted more so than the pace of reduction or absolute CapEx. As you can -- I mentioned earlier, we expect this year to be approximately €50 million down compared to last year, and we expect this continued reduction in absolute terms. Now when it will reach 7% to 9%, depends on what we're tell you about next year's revenue growth in the following years. So I think we'll have the discussion later on. But you should think of our CapEx is coming down in absolute terms year-on-year.
Paolo Bertoluzzo: Yes, let me add Sebastien, all of this is already embedded into the longer-term guidance that you've given on cash generation of about €1 billion in 2026.
Sebastien Sztabowicz: Okay. That's great. Thank you.
Operator: The next question is from Hannes Leitner from Jefferies. Please go ahead.
Hannes Leitner: Yes, thanks for letting me on. I have just two questions. One is a little bit of a follow-up on the volume question from Sandeep. Italy only grew 2% in Q2, Italy and merchant service volumes. And then can you put that just in context of the deceleration trend? And then squaring that with total Italy growth of 6% in the quarter. So should we think going forward that merchant services remains under pressure there? And then the second question is just like maybe on the cost composition? And what is your headcount expectations for the year? And also, so just on the headcount evaluation? Thank you.
Paolo Bertoluzzo: Good morning, Hannes. So, thank you for your questions. On the first one, the dynamic that we see, I think I mentioned also before, is not just Italy, it's across the board, is pressure on national schemes, okay, which is exactly what is happening in Italy and that's the reason why you observed that dynamic. At the same time, don't forget that in Italy, international scheme sales volumes are actually growing double-digit. So you should look at it into the overall context and this is actually one of the reasons together with the other ones that I mentioned before, that is allowing us, in any case to have sustained performance on merchant solutions across the group, but in Italy as well. On headcount cost, we expect this actually to slow down and actually come down quite materially going forward, whenever given no precise data around number of people and stuff like that. And honestly, we prefer not to continue to give it because to be honest with you, we are happy people in the company that are competent and do well for our customers. We always look at it as an overall cost component. And we don't give ourselves suggestions in terms of reducing a number of people. In general, we give ourselves suggested in terms of reducing the overall cost to do what we are doing and to grow the revenues as we are growing them. And in some cases, we rationalize and reduce where we see opportunities. In other cases, we also in-source activities as we are doing right now, and we continue to hire people. That's the reason why we don't plan precisely against the numbers, but we definitely plan in terms of total OpEx containment reduction.
Operator: The next question is from Alexander Faure from BNP Paribas. Please go ahead.
Alexandre Faure: Good morning. Thanks very much for letting me on. I've got three questions, if I may. The first one, maybe double clicking a little bit into this international schemes compared to domestic schemes. Could you remind us of the sort of net revenue content of international versus domestic? And why that's the difference there? And a bit surprised because I think in the second half of 2020 when basically domestic volumes recovered faster than international you commented that this was having a positive impact on your net revenue line or I might be misremembering, but maybe if there's been any changes in the way you price for international schemes? My second question, still on that shift to international, you commented that this is something you're seeing quite markedly in Italy. I was wondering if you're seeing a similar shift in to the same magnitude in Germany, Denmark and Norway and how you expect that mix to evolve over time in all those countries. And finally, sorry, my last question would be on Spain. You got the question earlier, just to be crystal clear if Sabadell was to not happen, would you be pursuing other M&A opportunities in Spain? Thank you.
Paolo Bertoluzzo: Good morning, Alex and thanks for your question. So on international schemes versus national schemes, excuse me, let me be clear because I want to make sure we don't confuse you. That in the volumes that you see reported by us, we have always a combination in the total volume that you see thereof, the volumes where we are acquirers, but also the volumes where we are just processors, okay? And when I say that, the economics are similar really -- I'm really considering the acquiring volume. So if a customer pays on a merchant that does everything with Nexi, either with an international schemes or a national schemes, in most of the cases, we make more or less the same amount of money in terms of net merchant fees, then it depends on the market, it depends on the situation, it depends on the cards, but that's more or less the basic rule. The key point is that instead, we process basically all or almost all the country volumes for national schemes in Italy, in Denmark and in Norway, okay? And those are volumes that, in fact, come with very low margins. So those are the processing volumes. And therefore, when you look at the overall volume mix, not the revenue mix, that's the reason why if -- in the volume mix, the national schemes don't perform well, the overall impact on us is completely different from the impact that we're adding on international schemes. So that's point number one. Point number two, the dynamic that we observe on national schemes, I would say, applies a little bit everywhere. As you know, international schemes are investing a lot to promote their cards into banks, that is part of the business model. And therefore, you have banks that are more and more issuing international schemes-only products on top of it. In many cases international schemes are not -- sorry national schemes are not active on wallet, Apple Wallet, Google Wallet and so on and so forth. And last but not least in some cases, national schemes are not usable online, that's for example, the case of BANCOMAT. And therefore, the more you see wallet drawing and you see e-commerce growing that for us are all positives. Now you we see national schemes [Indiscernible]. As we speak, there are a number of initiatives by banks actually to improve the ability of the national schemes to be used online, I think, to be used in wallets, we are actually working on a number of projects in this direction but the effect of this is not seen yet. But that's basically dynamic that we see. As far as Spain is concerned, listen, we stay committed to our partnership with Sabadell until the situation is clarified. What brought us to consider the deal and to sign the deal with Sabadell was starting from the fact that we like the Spanish market and we saw Sabadell as a fantastic partner in that market for the reasons that you can imagine. Sabadell doesn't go through, we'll probably continue to like the Spanish market. However, I want to be clear, this does not mean that we will do -- we are ready to do anything to come into that market. We remain extremely rational, we don't know what other opportunities may arise, and we will consider them and we may be doing something only in case that there is something that is valuable that is coming at the right conditions and that we consider being good quality as well as we've done with Sabadell. So that's the way, I will summarize the situation.
Alexandre Faure: Okay. That's all I have. Thank you.
Paolo Bertoluzzo: Thank you.
Operator: The next question is from Aditya Buddhavarapu of Bank of America. Please go ahead.
Aditya Buddhavarapu: Hey, Paolo and Bernardo, thanks for taking my questions. Just two for me on Digital Banking solutions, you talked about the focus on disposal of noncore assets, you did say you're not going to rush. But could you maybe just talk about the assets which you could look to dispose of? And what your thoughts are there? And if there's any processes going on right now? Second, just within the revenue mix. The rest of Europe actually was quite strong, up 10.6% in Q2. So could you maybe just expand on what's driving the growth there, maybe Greece or other markets?
Paolo Bertoluzzo: Good morning, Aditya. Thank you for your questions. Listen, on DBS as you can imagine, we prefer not to give details on a situation that are going and so forth. But let me just make two comments. Number one, the reason why sometimes where these things take a bit longer is because these businesses and you know the DBS is a portfolio of different businesses, some of them are quite strategic for us and important. Some of them are less strategic, and those are the ones that we consider for potential sale. And the part of the challenge in terms of how rapidly we can move on this is the fact that they're not necessarily not self-contained businesses, fully vertical integrated and so and forth. And therefore, you have a time needed and effort needed to basically carve them out at least we actually know and define them and prepare them for potential M&A processes. So that we have a number of conversations and many conversations and not processes because the betting situation will take different approaches, and we'll keep you updated if and when this become real. As far as the Central and Southern Eastern Europe is concerned, we're actually seeing good performance in, I would say, a number of countries. This time, I would like to highlight Greece, where we did do particularly well where volumes are doing well, but most importantly, also in terms of value management. Now we did suffer a little bit last year because there was a quite material mix shift of volumes and our pricing was not able to reflect it completely. Now we have adjusted that at the end of last year, and now we're benefiting from that, but it's the only case so we're quite satisfied for the performance that we see there, plus, we're trying to expand into countries with, I would say, asset-light models in merchant striations as well. Plus, we are also investing in that region more on DCC type of services but again are asset-light. So we are trying to be as smart as possible in a region that is very articulated and where each one of the countries is not a very big size but present very nice opportunities.
Aditya Buddhavarapu: Understood. Thank you, Paolo.
Paolo Bertoluzzo: Thank you.
Operator: The next question is a follow-up of Aleksandra Arsova from Equita. Please go ahead.
Aleksandra Arsova: Hi, thank you for taking again my questions. A couple of ones. The first one is on the dividend/buyback program in the coming years. So this year in 2024, the €500 million buyback, considering the €700-plus million loss of excess cash, it's almost 70%, let's say, pay out. Would it be reasonable to consider such a payout also in the coming years? Or maybe can you guide us for, let's say, a sort of policy on dividend and/or buyback? And the second one, maybe a little bit of color because I'm trying to assess a sort of sensitivity of free cash flow and EBITDA on revenues. So if there is an actual slowdown in consumptions and in revenues for you? I'm trying to understand if you have any levers to activate on the cost side or on CapEx to achieve in any way, the excess cash guidance and EBITDA guidance? Thank you.
Paolo Bertoluzzo: Hi, Aleksandra, thanks for your new questions. Listen, on dividend, share buyback in the quarter. As I said before, we took a structural decision that -- on the fact that given our ability to generate more and more excess cash, we will, at the same time, reduce leverage but also return structurally capital to shareholders. What is the mix and what is also the way we're going to be doing it in between buybacks and dividends is something that we will discuss very probably when we will communicate next year guidance in, I think, late February or early March, I don't remember when the call is planned. So let's talk about it there, but the direction of travel is very clear. I think on free cash flow sensitivities, let me say something that I think is quite simple. As a company, as a management team, we always take action to protect the profitability of the business and the cash generation of the business, trying to manage unexpected external factors, such as, for example, macro shift and so on and so forth. So the simple answer is data, we will be taking action in any case, obviously, always protecting the future potential growth of the business. But again, just as a reminder of our focus on protecting profitability of the business and cash generation, I just want to remind everybody that in the year of COVID, where we were an Italy-only company and Italy was by far the country in the world that was the most affected by COVID. And when volumes went down 50% for a few months, not for a few days. Nevertheless, we grew EBITDA in the year by 3%, I believe and we did grow EBITDA minus CapEx, minus not recurring double-digit, I think. So it's a very strong focus that we have and whatever the market condition do for us, we manage the business accordingly. Again, also protecting future growth that remains our very strong focus because we remain very optimistic about the long-term growth of this business and even more the long-term cash generation potential of our business more precisely.
Aleksandra Arsova: Okay, very clear. Thank you.
Paolo Bertoluzzo: Thank you.
Operator: Management, there are no more questions registered at this time. Do you have any closing remarks?
Paolo Bertoluzzo: So listen, thank you all for attending. I will not reiterate the message because I think we have been, hopefully, quite clear. I know that many of you actually, many of us are ready to jump on holiday or maybe already on holiday, but we are always ready for questions, deep dives, conversations even if not now, as soon as you're back from holidays, we're very happy to continue the conversation. Please come back to us with any questions or doubt or comment or also suggestions. Thank you so much, and enjoy your holidays. Bye-bye.